Operator: Ladies and gentlemen, thank you for standing by, and welcome to Yum China's First Quarter 2017 Earnings Results Conference Call. [Operator Instructions] I would now like to hand the conference over to your first speaker today, VP of Finance and Investor Relations, Ms. Christie Ju. Thank you. Please go ahead.
Christie Ju: Thank you, Tara. Good morning and good evening everyone. Welcome to Yum China's first quarter 2017 earnings call. A live broadcast of this call and a PowerPoint presentation are available through our website under the Events & Presentations section. Joining me today are our CEO Micky Pant; our President and COO Joey Wat; and our CFO Ted Stedem. We will start with opening remarks from Micky, Joey, and Ted, and then open the floor for Q&A. Please note, our earnings call and investor presentation contain forward-looking statements which are subject to future events and uncertainties. Our actual results may differ materially from these forward-looking statements. All forward-looking statements should be considered in conjunction with the cautionary statement in our earnings release and the risk factor included in our filings with the SEC. Let's move to agenda page on slide three please. Micky will start with first quarter 2017 highlights, Joey will discuss brand performance, and Ted will discuss our financial results. After that, we will open the floor for Q&A. Now let me turn the call over to Mr. Micky Pant, CEO of Yum China.
Micky Pant: Thank you, Christie, and thank you to everyone for joining our first quarter 2017 earnings call. Before I get to the highlights of our performance, I wish to draw your attention to slide number four and point out that 2017 is a very significant year for our company. We all know that this marks the first full year of operations since our public listing. Less known is that this year we also celebrate the 30th anniversary of our first KFC store in Beijing. And lastly, the quarter was notable because last year we had a very successful Chinese New Year promotion in the first quarter, and we were lapping some daunting numbers. While we have three quarters remaining in the year and each quarter has its own opportunities and challenges, we are pleased with the start of the first quarter. We were very pleased to record positive same-store sales growth for the company and for each of our two major brands, that is, KFC and Pizza Hut Casual Dining. We also built new units at a very healthy rate. And while growing our sales and new units, we also significantly improved our margins, profitability, and cash position. Overall therefore, we are facing the future with increasing confidence. Now let me give you some highlights of the quarter in slide number five. Thanks to successful marketing campaigns, we achieved the same-store sales growth of 1%. This was impressive given that 2016 first quarter was plus 6%. In particular, the performance of KFC is notable because it successfully lapped a plus 12% same-store sales growth in 2016 first quarter with a plus 1%. We continue to strengthen our presence in China and improve the quality of our stores with 133 new restaurant builds and 32 remodels. We have over 7,600 units at the end of the first quarter, and we are confident that we will be able to achieve our target of 550 to 600 new stores for the year -- that's 550 to 600 new stores per year. And last but not least, delivery and digital continue to drive top line and bottom line growth. A network of over 4,400 restaurants in our system offer delivery services, and we believe we have established an infrastructure for continued growth. In the first quarter of 2017, delivery represented about 12% of our company sales. On digital, with approximately 93 million loyalty program members between KFC and Pizza Hut we believe we have unprecedented insights into consumer behavior and have been engaging with consumers across the digital ecosystem and preorder payment. Now, I'll give you some more details in a couple of minutes. Let's move to slide number six. As you can see, our same-store sales grew 1%, now system sales increased 4% year-on-year for the first quarter on a constant currency basis. Both system sales and same-store sales had a solid start to the year, and you will get more details in the brand section. Looking forward, as I have said, we are facing the future with increased confidence. We expect to face many exciting opportunities and also challenges in the marketplace, but we will continue to focus on our core business and our key strategic initiative to drive system sales and same-store sales growth. On slide seven, covering margin and profit; benefiting from the impact of retail tax reform, efficiency gains and solid sales growth, our restaurant margin in the first quarter of 2017 expanded to 23%, the highest in the past three years. And also, as you can see, our operating profit continue to improve sequentially year-on-year. Ted Stedem, our CFO will provide you more details of these later. Moving onto to slide eight; let me give you some highlights of our industry-leading loyalty membership program. From a base of about 10 million members of KFC and Pizza Hut in early 2016, we have built our loyalty program to over 90 million at the end of the first quarter 2017. KFC alone had 70 million loyalty program members. In 2017, our priority is now moving from growing the number of members to also serving them better. We are gaining unprecedented insights into consumer behavior, and are able to connect with consumers in all aspects of their journey. At KFC, this includes preorder, even before they come to the store, coupons at promotions, loyalty rewards, cashless payment, and lastly feedback on their experience. This feedback is providing rich information on how to improve our product and service. We view our membership program as a very important asset, and we believe there are opportunities to utilize it to improve customer satisfaction and to drive same-store sales growth. To conclude my opening comments, I would like you to take you to slide number nine and give you an example. And this example, we use to highlight the power of the customer base -- database that I referred to. As mentioned, 2017 is KFC's 30th anniversary in China, and our team came up with this promotion, which showcased how we honor our legacy with Chinese consumers. The promotion offered our loyalty members the opportunity to buy two products; those two being original recipe chicken and mash potatoes and gravy, at the same prices which they were launched back in 1987. We delivered about 150 million electronic coupons to our members, with which they can buy a chicken -- piece of chicken for RMB 2.5 and mash potatoes and gravy for RMB 0.8, the exact prices at which they were launched in -- first launched in 1987. The program generated a huge buzz in social media with 70 million views on Weibo within a week of launch, on WeChat and advertorial of the promotion over 10 million hits in a week. As you can see from the slides, there is a quotation of typical of many consumers who posted, this particular consumer remembers -- when they went first to the KFC and says that my -- "It's been over 30 years my dad has passed away, and now it's my turn to take my little boy to KFC, he absolutely loves the delicious Original Recipe Chicken!" This promotion has just kicked off our year long back to 1987 and we expect to generate, excitements with our customers. This is a great way to make a nostalgic connection with consumers across China, many of whom cherish the memory of their first visit to a KFC. Even though this is our just one example that showcases the massive power of our loyalty membership program, and more importantly the strong emotional bond that we share with our customers, so with that one example I will leave much more detail on the brands to Joey Wat, who is the President and Chief Operating Officer for Yum China. She will share with you more details starting with KFC. So, Joey it's over to you.
Joey Wat: Thanks, Micky. Greetings everyone, now let me provide a quick summary of the performance of KFC and Pizza Hut Casual Dining in the first quarter of 2017. Let's start with KFC, slide 11 covers the key highlights of KFC in the quarter. KFC delivered plus 1% same-store sales growth, lapping a very strong first quarter 2016, and system sales were up 3% year-on-year. In this quarter, we built 72 new stores and remodeled a further 25 stores. Our financial performance was equally strong, we grew operating profits and expand restaurant margins and Ted will cover the numbers in more detail later. Let's take a look at the same-store sales and system sales growth at KFC. As you can see on slide 12, first quarter 2016 was a strong quarter for KFC with 12% same-store sales growth and 16% system sales growth it was a very tough lap with the hard work of our team KFC delivered a strong plus 1% in the same-store growth and 3% in system sales as I mentioned earlier. After a good start of the year, we continue to focus on driving the same-store sales growth and improve the profitability. The strong sales were driven by our innovative product, excellent marketing campaign and impressive store operations, not only during the Chinese New Year but also before and after the CNY holidays. Let me highlight three points on slide 13. First strong product portfolio we always provide our customers with new flavors, additional choices for holidays. So far for the past CNY, our key products were the Holiday Bucket new, the Szechuan or the Sichuan Chili Pepper Chicken Burger and Roast Wing Chicken style; second effective marketing campaign with resonating themes, for example, we worked with the Chinese National Women Volleyball team to drive a strong [indiscernible] the power of startup campaign. The women's volleyball team is the most beloved ball team in China, not only did they win gold medal in the 2016 Olympic, they also well respect for their hard work, dedication and positive attitude facing adversities for few decades. This specific marketing campaign connects very well with our customers and employees and this is just one of the theme that we promote for the Chinese New Year window. Last local customer interaction, for the first time, we systematically launched a national program to honor Chinese tradition and local art in our store. In more than 100 KFC store, we have introduced 21 Chinese art and craft to children with the help of Chinese artist in their areas. We want to be connected with [indiscernible]. Let's move to slide 14, thanks to digital echo system we have created at KFC, we are getting to know our customers in a more personal way. The location based mobile pre-order function enables customers to order even before they walk to our store. We also provide a better in-store experience with multiple ordering methods, convenient mobile payment and easy pick-up. In particular, mobile payment is right now about 30% of our company sales in the first quarter of 2017. Enrollment of our KFC loyalty members reached about 70 million with the huge base of loyalty customers we are able to provide more targeted promotion service to our customers for example Monday and Tuesday historically are the relatively slow days in a week, since we launched our members day program on Tuesday, we have seen encouraging response. Next, page 15 is about delivery; KFC is the number one online restaurant operating in China, in terms of sales and is the single largest delivery brand in China. We have our own proprietary platform and also we collaborate with all major third party aggregators to drive traffic, importantly KFC delivered all orders and a dedicate KFC rider interest with customers directly and we owned the customer database. We charge a delivery fee of only RMB 9 per order, grow from our proprietary platform and third party aggregators. Our delivery sales increased over 40% in first quarter. Delivery account for about 11% of company sales for KFC, our delivery business is profitable and we believe, we are well positioned to leverage our unique key engine growth model to drive sales going forward. Now let's move onto Pizza Hut Casual Dining on slide 16, on the back of a solid marketing campaign and a lot of hard work from our operation team. Pizza Hut Casual Dining also delivered a strong set of results with same-store sales growth plus 2%, system sales grew 9% on constant currency basis. During the quarter we also build 30 new restaurant. On the profitability front, Pizza Hut Casual Dining significantly improved restaurant margins and delivered robust operating profit growth. In the first quarter of 2017, as you can see on page 17, Pizza Hut delivered same-store sales growth of plus 2% it's the modest 2% but is the first positive same-store sales growth in the past 10 quarters. We believe this Pizza Hut is a powerful brand in China with the national footprint and strong brand equity, while we are pleased to see the encouraging number. We must acknowledge it was lapping a low pace of minus 12% in first quarter 2016. The 9% system sales growth on constant currency basis was also lapping a negative 1% in the same period last year. Despite the challenges ahead we are encouraged to see the performance throughout the year as our priority to sustain a positive momentum and to continue driving the same-store sales and profitability. Let's turn to slide 18. I would like to highlight what worked to drive sales recovery at Pizza Hut. This year our Chinese New Year menu included a new chicken pizza to celebrate the year of the [indiscernible], this combined with our quite a interesting pyramid monopoly over a seasonal greeting to our customer for the new year. The national launch of Durian Pizza was helpful to enhance our image as the pizza expert. In addition, our digital marketing program also for example we launched a birthday privilege program in January which over to our loyalty member who were celebrating their birthday in the month in order to confirm meaningful pizza in the incremental customer visit and so which was very encouraging. Slide 19; let me provide an update on digital and delivery of Pizza Hut. On delivery side, our combined delivery sales between Pizza Hut Casual Dining and Pizza Hut Home Service grew about 40% from first quarter 2016 to first quarter 2017. In the first quarter, mobile payment account for 28% of Pizza Hut Casual Dining company sales and also the royalty program increased to over 23 million members, digital and delivery are the key drivers for our same-store growth we will continue to focus these initiative to drive the momentum. Now let's move to slide 20. We have identified our near-term opportunities and have taken immediate action to address that. First leveraging KFC's effectual digital initiative, we have allocate more resources and to enhance our digital marketing capabilities at Pizza Hut. Second my initial observation at Pizza Hut there is room for improvement, improved innovation both are core products and other items such as drinks and snacks. We will work on -- actually worked very hard to offer better solutions to our customers. Third we will optimize our asset portfolio and we are developing multiple business model to address different consumer needs. Last but not least, we have identified some low hanging fruits improve operational efficiency. Importantly we are also working on the long-term strategic plan of Pizza Hut and the integration of Pizza Hut Casual Dining and Home Service business to drive sales growth and increase profitability. That concludes my presentation on brand performance and let me turn the call over to Ted, our CFO.
Ted Stedem: Thanks Joey, and good morning to those calling in from Asia and good evening to those in the U.S. during our previous calls, we have highlighted several unique strengths that truly differentiate Yum China in the marketplace. First we operate the leading brands in the biggest growth market in the world with the restaurant industry. Second we have an experienced management team that knows how to operate and grow them and finally as China's biggest restaurant operating company, we have unmatched resources, capabilities and financial strength to capitalize on the growth opportunities in front of us. This morning I will provide you with a high level overview of our first quarter results which highlight some of the strengths of the Yum China model. On slide 22, we are very pleased that we delivered positive same-store sales growth and strong profit results during the first quarter despite the challenging lap. Turning to system sales we delivered 4% system sales growth excluding the impact the foreign exchange. Our company wide restaurant margins reached 23% the year-over-year increase of 3.7 percentage points. Adjusted EBIDTA was $320 million which represents an increase of 20% year-over-year excluding the impact of foreign exchange and finally our operating profit was $254 million an increase of 27% year-over-year excluding the impact of foreign exchange. Both our margin and our operating profit performance was primarily aided by the benefit from the retail tax structure or VAT reform. Please note lapping a leap year in Q1 2016 negatively impacted our operating profit by about $6 million and our system sales growth by 1% on a constant currency basis in Q1 2017. Consistent with past practice we have removed the leap days sales from our same-store sales growth calculation, therefore the extra day had no impact on a reported same-store sales growth in Q1 2017. Let's turn to slide 23, where you can see some of the new restaurants that we have opened recently, during the first quarter we opened 131 restaurants across China, thanks to our flexible approach to development and the deployment of multiple business models we have continued to open new restaurants across every city tier and trade zone with about 56% of new builds opening in lower tier cities. We are also seeing encouraging results when we opened restaurants in new cities and we entered nine new cities during the quarter. Due to the solid operating results for both KFC and Pizza Hut during the first quarter, our average new unit returns continue to be healthy at the end of the first quarter, the average new restaurant pre-tax cash payback periods are less than three years for KFC and less than four years for Pizza Hut. Yum China is one of the most experienced restaurant developers in China and we are uniquely positioned to capitalize on the long runway for new unit growth. Our full year grows new restaurant opening target remains unchanged at 550 to 600 restaurants. Let's turn now slide 24, which shows the restaurant margins and operating profit results for KFC and Pizza Hut Casual Dining. At KFC, which generated approximately 75% of our total segment profits in the quarter, restaurant margins were 23.6% up 2.4 percentage points year-over-year and operating profits were $207 million up 14% year-over-year excluding FX. The increase in KFC restaurant margin and operating profit was primarily aided by the impact of the VAT reform. In addition, the increase in same-store sales contributed positively to margins. These benefits were partially offset by food inflation, labor inflation and our decision to upgrade the quality of certain KFC products including our French Fries. At Pizza Hut Casual Dining, restaurant margin was 23% up 7.2 percentage point year-on-year, and operating profit was $65 million up 75% year-on-year ex-FX. The increase in Pizza Hut restaurant margin was primarily aided by the impact of the VAT reform. In addition, we realized significant improvements in productivity as sales turned from negative to positive from Q1 2016 to Q1 2017. These benefits were partially offset by labor inflation and food inflation. Q1 is a high season for sales and margin for Yum China due to the Chinese New Year holiday, while we are pleased that restaurant margins exceeded 23% for both KFC and Pizza Hut Dine-In during the quarter, these results should not be extrapolated to other quarters. Finally as I mentioned our Q1 restaurant margin and operating profit results benefited from substantially from the VAT reform for a detailed discussion on the benefit and other impacts for the VAT reform, please refer to our last earnings release and 10-K we will begin lapping the implementation of VAT in May, which is the final month of our fiscal second quarter. Now on slide 25, there are several items that impacted our Q1 financial performance that I would like to point out including currency translation, G&A and inflation. Foreign currency translation negatively impacted our operating profit by $12 million based on the current RMB to dollar spot rate versus the average translation rate we incurred for our 2016 results. This negative impact may continue in future quarters. G&A increased 5% in local currency mainly due to higher compensation and headcount. We continue to expect full year G&A that in the high single-digit range ex-FX, primarily due to higher compensation and public G&A costs. Finally on restaurant level inflation, our wage inflation was 7% and our commodity inflation was 4.5% during the quarter. We believe that commodity inflation will be the highest in the first quarter and we expect it to moderate throughout the rest of the year. We estimate our full year commodity inflation will be approximately 3%. Let's move onto slide 26, which highlights one of the most powerful components of the Yum China model, our ability to generate substantial free cash flow. During the first quarter we generated net cash flow from operations of $357 million and free cash flow of $283 million after subtracting $74 million in capital expenditures. Our balance sheet remains strong with over $1.25 billion in cash and short-term investments. Earlier this year we announced that our Board had authorized management to repurchase up to $300 million of our shares and we remain committed to returning excess cash to shareholders, our top priority is to invest and grow our core brands over the long-term through our initiatives to drive same-store sales and industry leading new unit development, remodels and brand project that can temporize the customer experience. We are also evaluating growth opportunities beyond the core brands that leverage our unique strength and capabilities as the largest restaurant operator in China, with a world class supply chain network and logistics capability and the largest restaurant customer loyalty program and delivery network in China. We look forward to reporting back to our investors on both our growth strategy and our capital allocation plans later this year. With that I will turn it back over to Micky for a quick summary before we take Q&A.
Micky Pant: Thank you Ted, so as Ted said, before we open-up for Q&A. I would like to view slide number 27, to give you a summary of our quarter and outlook for the future. Our first quarter performance gives our greater confidence in our ability to deliver 550 to 600 new units, coupled with double-digit operating profit growth, excluding the impact of foreign exchange. With increasing confidence and the performance of our business, we are focused on three priorities. The first priority remains the continued growth of same-store sales growth and in particular we view digital and delivery as our compelling competitive advantages. Secondly we have embarked on a comprehensive strategic plan for Pizza Hut this covers the revitalization of our Dine-In business, integrating our growing delivery business across all channels and maximizing the opportunities from digital and loyalty program. And lastly, we are very encouraged by our strong cash generation as Ted mentioned and are examining cash deployment opportunities right across the spectrum, from growing our core business to growing beyond our core and finally returning excess cash to shareholders. We will inform more details of this in subsequent quarters. For now, that concludes prepared remarks. And I'll turn it over to Christie, to commence Q&A.
Christie Ju: Thank you, Micky. Now we will open the floor for Q&A. We would like to take as many as questions from you as possible. And I would very much appreciate it if everyone can limit to two questions each or if you have one question and follow-on that's fine too. If you have more questions, feel free to go back to the queue and we will try again to take as many questions as possible. Tara, please let's provide instructions for Q&A please.
Operator: Okay. Thanks, Christie. [Operator Instructions] Our first question today comes from the line of John Glass from Morgan Stanley. Please go ahead.
John Glass: Thanks very much. Micky or Joey, the question about sustainability of the same-store sales, obviously the first quarter you lapped to tough comparison successfully, how promotional were you to get that comp increase? Did you, for example, increase the level of discounting? Did you increase the level of advertising? Can you speak to what you think the rest of the year looks like given that momentum, and what you did specifically in those areas to drive those comps?
Micky Pant: Thank you, John. I will make a couple of quick comments and then hand over to Joey for more color commentary. I would like to clarify that in this call we are not providing same-store sales guidance for Q2 or for subsequent quarters of 2017. However, as we said on the call multiple times, we are facing the future with increasing confidence and we are very encouraged by the performance of Q1. I think, John, you will notice that we delivered positive same-store sales over a tough lap and at the same time no compromise on margins or profitability. I think that should give you an idea that that we were not overly promotional in being able to drive the same-store sales. We believe we are finely poised at this time. And like I said in my closing slide, our first priority above anything else is to continue to drive same-store sales growth. So, with that, Joey, any further comments?
Joey Wat: Hi, John. As we learnt a successful campaign or -- for the Chinese New Year or for anytime it's always the result of a combination of initiative, so it's good product, promotional campaign that resonate with customer and very, very solid store operation. So it's quite hard to say that it's just purely marketing campaign as we know that in KFC –- let me start with KFC, and then add bit more comment on Pizza Hut, KFC is -- the real strength is the 300,000 strong store operation team who serve our customer day in and day out. We have solid program for them throughout the year. We will stick to our plan and adjust our plan accordingly, but the key thing is a combination of initiative promotion campaign, good operation, good product, and in terms of promotion campaign, it's a good combination of traditional media and the new digital and also delivery. For the Pizza Hut, I think we are all quite encouraged to see the first quarter is generating pricing [Ph] for sales, but I would like to highlight again that last year -- it was minus 12 last year same quarter, and also, it's a big business for any sort of solid fundamental turnaround you expect in 18 to 24 months. So for the Pizza Hut, this year, for the rest of the year, we of course we are reviewing the plan -- the marketing plan and the product –- the new product pipeline, and will adjust as soon as we could and as much as we possibly could do, but again, we are also learning how to do a combination of initiative to deliver solid self-momentum.
Micky Pant: Okay, thank you, Joey. Next question please?
John Glass: That is very helpful. If I could just ask one follow-up; on your real estate plan, you alluded to one that delivery is growing quickly, it's up 40%, 12%, and you are also talking about maybe some store rationalization. So if you think about the future, do you need the stores as large as they are, is there an opportunity to rationalize your existing stores? Do you think about a different kind of footprint going forward or a smaller footprint perhaps given that more and more of food is going to be off premise?
Micky Pant: I think, John, the level which are placed where deliveries are on 10 to 12% of our sales and the rate of increase that we are seeing, we don't see a significant wholesale change in real estate at all. We continue to be optimistic about building new units in addition we are able to deliver from existing units. I think in previous calls and in previous road shows, we have mentioned that we have been experimenting with smaller format stores with a lot of success. So changes like that will continue to happen. Delivery, however, is growing rapidly. And we will keep you posted in subsequent quarters of any other further development. But at the moment, if the thrust of your question is whether we need to substantially change our business model, the answer is no. I think we are doing fine where we are.
Christie Ju: Okay, thank you. Operator, can we have the next question please?
Operator: Okay. The next question comes from Christine Peng from UBS. Please go ahead.
Christine Peng: Hi, management, I have two questions. One is for Ted. Hi, Ted, could you give us a break down in terms of traffic and ticket size contribution to same-store sales growth of Pizza Hut and KFC respectively in the first quarter of 2017? And second question is -- hi, Micky, I remember when YUM China presented Q4 results last year, you did mention that Tier 1 -- Tier 3 and 4 cities were kind of lagging -- were kind of dragging sector to lead to less than satisfactory same-store sales growth in fourth quarter of last year. And how has that been perhaps changing going to first quarter? Do you observe a pickup in tier 3 and 4 cities traffic into the KFC and Pizza Hut restaurant?
Ted Stedem: Good morning, Christine. Let me take your question first which was on the breakdown of our same-store sales by brand. So for KFC, we were plus 1 and that was comprised of a negative 1% contribution from transaction and average guest check up 2%. Now the guest check did contain about 2 points of pricing and almost no mix benefit. Under Pizza Hut casual dining side, our Pizza Hut casual dining same-store sales were up 2% and that was comprised of a 2% increase in transaction and a flat guest check. We have negligible pricing -- had negligible pricing impact in Pizza Hut casual dining during the first quarter.
Micky Pant: Christine, this is Micky. To your second question, I think as we analyzed our sales by tiers, we are pleased to see the performance of both brands across all city tiers. It is true from your recollection that last the tier 1 city had a particularly strong performance, but we are pleased to say that we are able to lap those in all city tiers. City tier performance does tend to differentially act depending on the size of -- the scope of the economy, but we believe that we are really balanced and very well poised across all city tiers so that we should be able to have a great deal of stability in future. Thank you.
Christie Ju: Thank you. Can we have the next question please?
Operator: The next question comes from Sara Senatore from Bernstein. Please go ahead.
Sara Senatore: Thank you. Thank you very much. I have a follow-up question and then a separate question on margins. Just on the question of delivery -- topic of delivery rather, you see pretty dramatic growth there, very impressive, and I was wondering can you give us any color on what the average check might look like or how you think about incrementality? I am just trying to understand given that delivery and digital are such important parts of your growth trajectory; is there a way for us to think about what the contribution might look like as that mix shifts higher in both direction? Higher average check, do you see greater frequency for people who use digital, maybe just a little bit more color on that? And then, I have a question on margin.
Joey Wat: Hi, Sara, for the delivery [Ph], KFC is just -- the ticket average is about twice of our dine-in basically. So it's about 60-some Renminbi. And then Pizza Hut is 100, which is a bit less than our dine-in business. And both are growing very, very nicely. The key source of growth is both from -- for us from more what we call Chinese [indiscernible] the pure volume by the expansion of city coverage, and also more frequency. So let me take KFC as an example. In KFC business, dine-in we are in 1,100 business. In delivery, we are now in about 650 to 700. So, there are still more cities that we can expand our delivery business to; and similar story for Pizza Hut. And then also in terms of frequency, the habit of delivery food delivery is more well-established in top tier city like tier 1 cities. So right now our sales is growing very nicely in tier 1 and tier 2 cities. But the good news is the trend and habit of the delivery is building up very quickly in lower tier cities and that gives us more opportunity as well. So…
Micky Pant: I think, Sara, just anecdotally it is a transformative sort of a situation I think potentially because we see habits changing before our eyes. In our office over the last one year the number of people that used to bring lunch from home compared to those that order now from restaurant is changing dramatically. And I think that overall our premise consumption is increasing. And we are very pleased at the moment with shape of both our brands and ability especially coupled with our digital database and digital expertise. So I think it is significant. We will give more color commentary in subsequent quarters. You got a follow-up…
Sara Senatore: Thank you. That's very helpful. Yes, very helpful. Thank you. Just on the margin side, obviously talked about the VAT was a big part of the -- or the bulk of the margin expansion. Longer term, if I think about mid single-digit food or [indiscernible] in high single-digit wage inflation, what's the right comp to think about as the point at which you can continue to see margin expansion or leverage once you've obviously lapped VAT and that's no longer a tailwind? So just how to think about the leverage point in the operating model, please?
Ted Stedem: Thanks, Sara. That's a great question. I think looking forward we do expect the labor inflation to continue in the high single digit range. I think the big question is where the food inflation and commodity inflation settles. The past four years, we have had almost relatively flat commodity inflation. In Q1, it did pick up to 4.5% and we expect it to moderate throughout the balance of the year. If you look at the combination of the comp to grow our margins, with that we would need a solid comp. I think the benefits that we've gotten from our margin improvement, we still see margin improvement opportunities, but they are going to be much less than we've seen in the past two years. So I think the margin expansion is going to have to come from our same-store sales growth, which is why we are committed to it. We haven't set a specific target for that because we don't have full visibility to the commodity inflation, but it is safe to assume that we need solid same-store sales growth to deliver the margin expansion. And I think that's why this management we made this our absolute top priority. And we have a number of initiatives and strategies that we share with you around delivery, digital, innovation, value throughout the day that we are working on to make sure we can deliver that consistent to cover our inflation and to get margin expansion.
Sara Senatore: Thank you.
Micky Pant: Thank you. The next question?
Operator: The next question comes from Anne Ling from Deutsche Bank. Please go ahead.
Anne Ling: Hi, management team, first I have store number questions. Just want to check how many self run stores that were opened by brands i.e. KFC and Pizza Hut for the first quarter? And for the full year 500 to 600, what is the mix now in terms of franchise versus self operated store. Yes, that's my first question.
Joey Wat: Anne, we will provide details once you see our Q, so you will have that which is coming in this week.
Anne Ling: Okay, okay. My second question is on the Pizza Hut. You mentioned about a multiple business model that you are reviewing, would you share with us what do you have in mind in terms of the different business model type? And secondly, in terms of I think that Joey mentioned that there has been some low hanging fruit, is it already reflected in first quarter, or would you give us some example in terms what are the areas that which are easy fix and yes, that's my second question.
Joey Wat: Hi, Anne. Pizza Hut is a big portfolio. With that size of portfolio we naturally can do some cementation to serve our customer bit better. So we are going through the exercise of dividing -- not dividing, analyzing and store segmentation. I'll give you one example, we are testing. We are testing one model, which is what we call [indiscernible]. Basically I think other way the industry [indiscernible] basically you pay the bill first and you order and then you sit down. So it is just one model that we are testing and we are testing multiple model. It's too early days, but it is absolutely right thing to do and it's a must. And we believe that we will find our way back. In terms of low hanging fruit, I took over the business only about February. So again it's early days but we do have short term initiative plan for the Pizza Hut team. And they are quite a number of low hanging fruit. Again we are testing or trying. One area is some items that we might pick away from the whole menu. Again we are testing and we hope that every step is a solid step, so we are doing it in a cautious and careful way even for low hanging fruit. And the other small thing which is absolutely right thing to do is let's say drink portion, the food portion. So let's start from the drink portion. We are upgrading the drink portion. Without charging customer, we are providing more drink and more food. So these are sort of the few examples that we are testing.
Christie Ju: Great. Thanks, Joey. Can we have the next question please?
Operator: The next question comes from Matt McGinley from Evercore. Please go ahead.
Matt McGinley: Thanks for taking my questions. First one is on margin. In your prepared Ted you noted a few times that the increase in margin and profit growth is primarily aided by that VAT change, but you also mentioned some efficiency gains. Can you give us some sense of what the efficiency benefits were net of that VAT? The VAT benefit seems to have gone up in every quarter, but it sounds like there are some other good things that are going on there that it's a little bit hard for us to tease out the in numbers given the big move [indiscernible] on a quarter-to-quarter basis.
Ted Stedem: Sure, Matt. Let me split it for KFC and Pizza Hut, and really when you look at laps in the quarters, KFC's margins were up a little over 2.4 points and Pizza Hut's margins were up 7.2 points. KFC was lapping a plus 12 with a plus 1. Typically in our business when you lap a plus 12 with a plus 1, you wouldn't expect a lot of productivity and efficiency gains and the contribution to KFC's margin of product efficient was minimal. Pizza Hut on the other hand was lapping a negative 12 and we had efficiency gains in a couple of areas I'll walk you through. I mentioned labor productivity, that efficiency gain comes from the fact that we delivered a plus 2 and also the fact that we had an underperformance last year. So, we had an important pickup of labor productivity. The other area we picked up efficiency in Pizza Hut was in cost of sales where we were lapping a promotion that underperformed. So, we actually had a pickup because the promotion, as Joey mentioned, performed quite well. I also would highlight that during the first quarter we also had a benefit in our utilities expenses that we believe was related to lower consumption due to the unseasonably warm weather we had throughout the country. So, those would be some of the areas that we picked up outside of the VAT. Obviously on Pizza Hut, we also had a pick up from the sales growth that we delivered in the margin.
Matt McGinley: Okay. And on the store growth in this quarter, the first quarter is not -- there has not historically been a quarter where you would put up a lot of stores, because it's a short quarter and you have a holiday, what was different this year that you have the opportunity to put up more stores, and I guess the net number of stores was up quite a bit year-over-year because you are closest to, so can you kind of give a sense of what was different this year with that, and then why the closures were quite a bit less?
Micky Pant: Yes, I think we gave the gross number, I think 133, which is well above last year. Q1 does tend to be slow normally on account of Chinese New Year construction activity, and worldwide a general -- a lot of stores do get build in the fourth quarter, but I wouldn't read too much into it at this stage, Matt, I think that you would be wise to stick with our guidance of 550 to 600 new units. Those like I said, we feel even more confident about it having gotten off to 133 stores in the first two months of the year, but I wouldn't raise you know, our expectations on new unit builds just based on the first quarter, let's just see how the subsequent quarter is going and we can keep it positive.
Matt McGinley: Okay, thank you.
Christie Ju: Operator, can we take the next question please?
Operator: Your next question comes from Brian Bittner from Oppenheimer. Please go ahead.
Mike Tamis: Hi, great, thanks. This is Mike Tamis on for Brian. You know, you guys talked about the cash balance and your significant free cash flow generation. So, just curious you know, what the thought there on using that cash going forward and then there will be buyback authorization out there, but I think you can stop this quarter. So, just curious of how you are thinking about that in potentially years going forward?
Micky Pant: I think Brian, I will hand over to Ted for this, but like I said at my concluding slide, you will have to wait a little longer for us to give you more details of that, but I will let Ted give his best answers we can.
Ted Stedem: Thanks, Brian. I think this is one of the most important questions that as management we are tackling, and we are working and exploring all of the options and it's a top priority for us. I want to clarify one point, you know, the $1.25 billion that we have in cash includes the operating cash flow requirements and the working capital requirements of the business which were about $500 million. With that said, as management, we are absolutely committed to either investing our cash to grow our business or returning it to the shareholders either through buybacks or dividends. You mentioned that we already have approved the $300 million share repurchase program, beyond this, our top priorities to invest and grow the core restaurant brands by investing in new stores, remodels of projects, as I mentioned in conjunction with Joey, we're exploring all opportunities to do this. We have also commenced to review to evaluate the opportunities to invest in other growth options that leverage the unique strengths of Yum China model, and we will expect to complete this in the second half of 2017, and therefore we look forward to updating you when we complete the review and that's going to be review of our internal growth options and any other opportunities we see, as well as our plans to return an excess cash to shareholders through buybacks or dividends, and we plan to come back to you later this year with more clarity on those plans.
Christie Ju: Thank you, Ted. Can we have our next question? Do you have another question, Mike?
Mike Tamis: If I may; you know, it's sort of have been asked a couple of ways, a few times about the VAT benefit, but just curious if you can quantify it this way, if you didn't have the VAT benefit, would margins have been up year-over-year in the first quarter, just kind of curious on how to think about that. Thanks.
Micky Pant: Mike, it's a tough one to answer as you can imagine, but just remember the VAT is an industry benefit. So it's not a -- you know, the government cut us a check for that amount, this is a tax benefit that is enjoyed by every competitor as well. The second is that as you know, we have had relatively modest pricing, and it might have been different had VAT not occurred, so it's very difficult to estimate what may or may not have happened. It's definitely a positive benefit for us. I think it's more importantly a very important signs from the government of wanting to continue to stimulate the economy, and it's been positioned as such, and we have been very encouraged by it. It gives us unprecedented cash and operating margins to be able to invest even more strongly behind the business, but it's very difficult to answer what might or might not have happened had VAT not occurred.
Mike Tamis: Thank you.
Christie Ju: Okay. Operator, can we take the next question please?
Operator: Your next question comes from RJ Hottovy from Morningstar Research. Please go ahead.
RJ Hottovy: Thanks. I had two questions; both related to the loyalty membership program. The first question is -- I was wondering if you could give us some details on the typical profile of the loyalty membership program member, you know, things like demographics, household income, potentially even you know, Tier 1 versus sales, just trying to get a sense of where you are seeing that customer acquisition, member acquisition, just kind of better understand the profile of that customer? The second question I had is now that you have started to lap growth on that, have you seen any change in behavior for particularly among those customers that you have had for more than a year in terms of average order size, average frequency of order, just any kind of details that you might have on that front would be helpful. Thanks.
Micky Pant: Okay, we will ask Joey to answer that one.
Joey Wat: Yes. For the typical profile, this is an interesting one, because -- let's say, for a typical KFC customer, our target customer is from three to 80 years old. So, it's quite hard to come up with a typical profile, but you know, in terms of members, they tend to -- the range of the age is a bit narrower than our target audience. So, the younger people is something that we can expect. In terms of what have we learned from our customer; we are very pleased about our customer loyalty really, again, take KFC as example, right now we have 70 million members, 25% of our business from our members, and that's huge proportion. And what can we learn from them, we are still learning, because it's still early days, and in terms of frequency, we -- of course we are doing naturally with this huge amount of database, we are doing customer segmentation and try to understand their frequency and then how can we try more frequency, but just to give you a bit of color, very loyal KFC customer set up in our pyramid, they do come to our store on a monthly basis. So, it's quite high for our industry or retail industry in general. Thank you.
Christie Ju: We are already closing to one-hour mark. Can we take the last question please?
Operator: Certainly. The last question comes from Christine Peng from UBS. Please go ahead.
Christine Peng: Management, thank you for taking me -- the follow-up questions, so, on Joey's comment, you mentioned that 25% of revenue of Pizza Hut -- of Yum China come from the membership, can you give us an idea what this number was, for example, one year ago in the first quarter of 2016? And is that convenient for you also to provide us kind of the proportion of revenue coming from members for Pizza Hut and KFC respectively in the first quarter of this year? That's my first question. And second question is for Ted. Hi, Ted. I realize since early this year Pizza Hut Casual Dining is combined with Home Delivery. So, in terms of financial reporting, would there be any differences going forward, given that the Pizza Hut Home Delivery previously was accounted in other revenue section? Thank you.
Christie Ju: It's Christie here. I will take the first question. As Joey mentioned, I think obviously we are following very closely all the membership and every data, but we are in very early stage. As you know, in 2016, that was the time when we started the membership program, so lot of information are still being gathered, and there is very limited comparison. In terms, also the contribution for sales varied from period-to-period. There are also differences across different regions. I think we would rather have more data and have more concrete evidence before we provide more historical breakdowns.
Joey Wat: And it's for KFC only, not for Yum China, Christine, just to make sure I made myself clear.
Christine Peng: Okay.
Christie Ju: Okay. And Ted will answer your last question.
Ted Stedem: Okay. Hi, Christine, on the reporting question, you know, we are working with Joey right now; we are developing a detailed Pizza Hut growth strategy that leverages both the resources we have at Pizza Hut Dining as well as Pizza Hut Home Serve. And as we crystallize that strategy we will evaluate the best way to report that business. So I don't have anything concrete to give you today, but know that we're working on a strategy for the Pizza Hut brand and that will come back to you if we think we should change the reporting structure, and that will be at a time in the future.
Micky Pant: Say, as we conclude the call, Christine, since you follow the company so closely and to others listening on the call, numbers related to loyalty program membership impacting the business at the moment should not be taken as a firm number that we have given at the moment. We've reported a number of times, for example, the percentage of business coming from cashless payment, which is trending at about a third, and the number of loyalty club members, but please don't take the percentage of sales being derived from loyalty as a firm number at this stage. We will provide commentary as this goes along. So, as Christie was saying, it's a little early at this stage, after we will be able to take those numbers and use them for modeling purposes in anyway.
Christine Peng: Okay, very helpful. Thank you.
Christie Ju: Thanks everyone.
Micky Pant: Okay. Well, thank you everyone for being on the call, and I guess we will return it for the conclusion of the call.
Christie Ju: Yes. For those of you have additional questions, feel free to reach out to us. We are here to answer the questions. And many of you already know we will be in Singapore next Monday, and in Hong Kong, Tuesday and Wednesday, and we look forward to have more opportunity to interact with all of you. Thanks very much.
Operator: Thank you. Ladies and gentlemen, this does conclude our conference for today. Thank you so much for your attendance. You may all disconnect.